Operator: Good morning. My name is Kimberly, and I will be your conference operator today. At this time, I would like to welcome everyone to the Tennant Company's Third Quarter Earnings Conference Call. This call is being recorded. There will be time for Q&A at the end of the call. (Operator Instructions). After the Q&A please stay online for closing remarks from management. Thank you for participating in Tennant Company's third quarter earnings conference call. Beginning today's meeting is Mr. Tom Paulson, Senior Vice President and Chief Financial Officer for Tennant Company. Mr. Paulson, you may begin.
Tom Paulson : Thanks, Kimberly. Good morning, everyone, and welcome to Tennant Company's third quarter 2014 earnings conference call. I am Tom Paulson, Senior Vice President and Chief Financial Officer of Tennant Company. With me on the call today are Chris Killingstad, Tennant's President and CEO; Thomas Stueve, recently promoted to Treasurer; and Karen Durant our Vice President and Controller. Our agenda today is to review Tennant's performance during the 2014's third quarter and our outlook for the year. First, Chris will brief you on our operations, and then I'll cover the financials. After that we will open up the call for your questions. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we filed with the Securities and Exchange Commission. We encourage you to review those documents, particularly our Safe Harbor statement for a description of the risks and uncertainties that may affect our results. Additionally on this conference call, we will discuss non-GAAP measures that include or exclude special or non-recurring items. For each non-GAAP measure, we'll also provide the most directly comparable GAAP measure. There were no special non-GAAP items in the first nine months of 2014, but there were special non-GAAP items in the first and fourth quarters of 2013. 2014 third quarter earnings release includes a reconciliation of these non-GAAP measures to our GAAP results for the 2013 first nine months and full year. Our earnings release was issued this morning via Business Wire and is also posted on the Investors section of our Web site at tennantco.com. At this point, I'll turn the call over to Chris.
Chris Killingstad: Thank you Tom and thanks to all of you for joining us this morning. Let me begin by saying that Tennant again executed very well on our growth strategies in the third quarter. Our platform to accelerate organic sales is clearly working as we strive to attain $1 billion in revenues by 2017 with an operating profit margin of 12% or above. Taking a look at the third quarter results we posted our second highest quarterly sales in Tennant’s history driven by strong growth in the Americas and in EMEA regions. In addition Tennant set a sales record for a third quarter with sales gains in all of our major categories, equipment, parts and consumables, service and coatings. Our consolidated net sales in the quarter were $202.6 million up 7.5% compared to the prior year quarter. Our diluted earnings per share rose 12.5% to $0.63. Contributing to our performance were increased sales to strategic accounts and through distribution. And continued demand for new products such as the Compact T12 and midsize T17 rider scrubber and walk behind burnishers. The gross margin in the quarter however was below our expectations. It was constrained by supply chain challenges that we experienced with increased cost related to hiring and training additional manufacturing employees and temporary workers to support higher production levels. Including the continued ramp up to meet the growing demand for new products. These are short term growing pains. They are fixable and we are taking the necessary steps for improvement. Tom will cover results in our geographies in more detail but I’d like to share a few highlights. We saw continued strong growth in Tennant’s largest region the Americas. Sales here increased 9.8% organically in the quarter driven primarily by sales in North America. Latin America is an important region for us and it has continued to grow, although at a slower rate due to macroeconomic conditions there especially in Brazil. In EMEA, we had a nice improvement from the second quarter. Third quarter sales rose approximately 6.5% organically. Growth in EMEA was broad based and we anticipate continued organic growth in this region in the 2014 fourth quarter. We are pleased with our overall performance in EMEA and our strategies here are on track. Sales in the Asia-Pacific or APAC region were down about 5.1% organically in the quarter stemming from economic uncertainties in the key markets. APAC was very solid in the 2014 first half and we anticipate sales in that region will return to growth in the 2014 fourth quarter and for the full year. Taking a look at our new products. Tennant continues to execute against one of the most robust new products and technology pipelines in the company’s history. We are on plan to launch more than 63 new products and technologies between 2014 and 2016 and that is on top of 37 new products from 2012 to 2013. Innovative products and technologies are a significant driver of the company’s revenue. Sales of new products introduced since the 2012 fourth quarter have risen steadily from 2% of total equipment sales in the 2013 first quarter to 13% in the 2014 third quarter. This demonstrates the growing momentum of new product sales as we complete our launches and demand accelerates. Year-to-date in 2014 we have introduced 10 new products with six additional products expected to be introduce by year end. During the 2014 third quarter Tennant launch the S30 mid-sized rider sweeper. This product provides indoor and outdoor sweeping with optimize dust control in both life and heavy duty applications. Initial sales are going well. The S30 is attracting customer who have very demanding environments to clean. With the S30 we now have a complete line of sweepers from subcompact to industrial size riders. Other major 2014 launches that have already occurred and continue to be strong sales contributors include the T17 mid-size battery powered rider scrubber that offers the largest available battery capacity in its class making it highly productive. The T17 will clean for up to eight hours on a single charge. We expanded our award winning furniture line introducing walk behind battery operated models that are emissions free and deliver propane like floss results. In addition the Orbio Technologies Group and Tennant Company launched the Orbio os3 which delivers on-site generation of an antimicrobial solution as well as effective multi surface cleaner produce a wide variety of customer segments. It is small simple to use and affordable. It meets U.S. EPA regulatory guidelines for disinfection and sanitization. The positive response across the broad range of industries is encouraging. Key leading indicators such as the pipeline of active prospects, customer trials and the trial conversion to sales continued to grow. On top of the sales momentum of our new offerings -- our new offerings have generated to-date we look forward to announcing several more new products at the upcoming ISSA industry trade show in early November. Among them we plan to preview a prototype of our next generation ec-water technology and we anticipate offering on select scrubbers in the first quarter of 2015. This move is consistent with our strategy to periodically update and significantly improve key products and technologies in our portfolio. We look forward to telling you more about this next generation technology in the near future. Sales of scrubbers equipped with our first generation ec-water technology grew 6% in the first nine months of 2014. Turning to other corporate developments I’m very pleased to let you know that we have added a highly skilled individual to our leadership team. David Huml is joining Tennant in early November as Senior Vice President of Global Marketing. David has a stellar industrial, marketing and management background that spans 23 years. He most recently was Vice President of a large global business at Pentair. David will be instrumental in advancing our organic growth initiatives and we’re delighted to welcome him to Tennant. We remain encouraged by our initial performance against our growth agenda to the first nine months and our on track deliver robust sales and earnings growth in the 2014 fourth quarter. We have made important investment in sales, marketing and distribution. These investments have been front-end loaded, but they are paying off. Tennant continues to generate strong organic sales gains. Our focus is on executing our growth strategies and working to resolve short term supply chain challenges in order to achieve our possibility objectives. Going forward the main drivers of our growth strategy continue to include strong and sustain new product growth in our core business and in the Orbio Technologies Group, continue the significant sales gains in emerging markets, growth in Europe, ongoing focus on strategic accounts and an enhanced broader market strategy designed to meaningfully expand Tennant’s global market coverage and customer base. Our plan to achieve $1 billion in revenue by 2017 including an assumption of approximately 2% global GDP growth. And we anticipate Tennant’s targeted 7% compounded annual growth rate to be broken down approximately as follows; up to 3% from new products including Orbio; up to 3% from our enhanced go to market strategy including Europe and strategic accounts and up to 2% from emerging markets. We will carefully monitor our performance and seek to accelerate our timeline wherever possible. Now I’ll ask Tom to take you through Tennant’s third quarter financial results. Tom?
Tom Paulson: Thanks Chris. In my comments today all references to earnings per share are on fully diluted basis also please note as I go through results I’ll generally not comment on year-to-date financials, results were detailed in earnings release. For the third quarter ended September 30, 2014 Tennant reported net sales of 202.6 million compared to 188.5 million in the prior year quarter. Organic sales grew approximately 7.5% with an overall neutral foreign currency exchange impact. We are encouraged by the solid level of organic sales growth in the past five quarters. As you may recall Tennant’s organic sales rose approximately 8.9% in the 2014 second quarter, 10.5% in the 2014 first quarter, 5.1% in the 2013 fourth quarter and 6.8% in the 2013 third quarter. Third quarter 2014 net earnings were 11.8 million or $0.63 per share in the year ago quarter Tennant reported net earnings of 10.6 million or $0.56 per share. Turning now to more detailed review of the 2014 third quarter. Our sales are categorized in three geographic regions which are the Americas, which encompasses all North America and Latin America, EMEA which covers Europe, the Middle East and Africa and lastly Asia-Pacific which includes China and other Asian markets Japan and Australia. In the Americas, 2014 third quarter organic sales increased approximately 9.8% excluding about 0.5% of unfavorable foreign currency impact. Record sales for third quarter in North America were fueled by strong sales of new products such as the new T12 and T17 rider scrubbers and also the new walk behind burnishers. Latin America sales growth in the 2014 third quarter was lower compared to the 2014 first half primarily due to economic headwinds in Brazil. This is an important emerging market for us and we remain confident about the long term growth prospects in Brazil. In EMEA organic sales growth in the 2014 third quarter was approximately 6.5% excluding a foreign currency benefit of about 2%. This compares favorably to the organic sales decline of approximately 1.9% in the 2014 second quarter excluding a favorable foreign currency impact of about 5.5%. We had mentioned on our second quarter conference call that this decline was primarily due to timing of orders. Some of the orders get expected in June will received in July, sales growth in the 2014 third quarter was broad based. We had another good quarter in our city cleaning business with increased year-over-year sales for the fourth consecutive quarter. Sales of strategic accounts resume their momentum and we had a strong sales for our master distributor in Central Eastern Europe, Middle East and Africa markets. EMEA organic sales for the 2014 first nine months grew approximately 3.3% excluding the favorable foreign currency impact of about 4%. In Tennant’s Asia-Pacific region organic sales declined approximately 5.1% excluding an unfavorable foreign currency impact of about 0.5%. Economic uncertainties in our key markets of Australia, Japan and China lengthened sales cycles which impacted the timing of orders and shipments. Also the APAC organic sales for the 2014 first nine months rose approximately 11.7% excluding an unfavorable foreign currency impact of about 3%, this was laid by growth in China of approximately 20%. As Chris mentioned, we do expect positive sales growth in APAC in the 2014 fourth quarter and the full year. Tennant’s gross margin for the 2014 third quarter was 43% compared to 43.4% in the prior year quarter. This was within our target range of 43% to 44%. Gross margin in the 2014 third quarter -- we're getting some background noise there again this is Tom for talking if somebody must think they are on mute. We appreciate if we could have some – not have a background noise, thank you. Gross margin in the 2014 third quarter was 40 basis points lower than the prior quarter primarily due to supply chain challenges with increased cost related to hiring and training additional manufacturing employees and temporary workers for high production level including the continued ramp up to meet the growing demands for our new products. As Chris mentioned, we are proactively addressing these challenges in order to increase manufacturing productivity and improve our gross margin performance. From a timing perspective these are short term issues but likely take a couple of quarter to remedy. Research and development expense in the 2014 third quarter totaled 6.8 million or 3.4% of sales compared to 8 million or 4.2% of sales in the prior year quarter. We continue to invest in both our core business and Orbio which is focused on advancing a suite of sustainable water based cleaning technologies. Selling and administrative expense in the 2014's third quarter totaled $63.2 million or 31.2% of sales. This compares to S&A in the third quarter of last year 57.7 million or 30.6% of sales. To accelerate future growth, we continue to making targeted strategic investments in this area that include additional direct sales, distribution, and marketing capabilities. Our 2014 third quarter operating profits hold 17.1 million or 8.4% of sales compared to the year earlier operating profit of 16.2 million or 8.6% of sales. As Chris noted we remain committed to our goal of 12% or higher operating profit margin by successfully executing our strategic priorities and assuming the global economy improves. As we work towards this target, we are keenly focused on driving organic revenue growth in the mid to high single digits, holding fixed costs essentially flat in our manufacturing areas as volume rises, striving for zero net inflation of the gross profit line and standardizing and simplifying processes globally to continue to improve the scalability of our business model while minimizing any increases in our operating expenses. Thus far we have made significant progress on building a scalable business model capable of delivering improved operational efficiency and profitability. We have now placed a renewed focus on accelerating organic revenue growth. While we’re encouraged with the level of organic sales growth achieved in recent quarters we have experienced some growing pains as we adjust our operations to this higher pace of growth. We continue to successfully execute our tax strategies. Tennant’s overall effective tax rate for the 2014 first nine months was 31% which is lower than 32.6% for the 2014 first half. This improvement was due to routine favorable discrete tax items and the estimated [indiscernible] for full year taxable earnings by country. The base tax rate of 32.7% which excludes routine discrete tax items was within our targeted range of 31% to 33%. Note that we are not able to include any benefit in the 2014 first nine months to the federal R&D tax credit as this has not been reenacted for 2014. Turning now to the balance sheet. Again, this continues to be very strong. Net receivables at the end of the 2014 third quarter were 141.8 million versus 139.8 million a year earlier. Quarterly average accounts receivable days outstanding were 65 days for the third quarter the same as in the 2013 third quarter. Tennant’s inventories at the end of the 2014 third quarter were 84 million versus 67.4 million a year earlier. Quarterly average FIFO days inventory in hand were 90 days for the 2014 third quarter compared to 82 days in the year ago quarter. We have increased our inventories to support higher sales level and many new product launches. Capital expenditures of 13.5 million in the 2014 first nine months were 2.1 million higher compared to the 11.4 million in the prior year period with planned investments in tooling related to new product development, manufacturing equipment and process improvement projects. Tennant’s cash from operations was 36.8 million in the 2014 first nine months comparable to the cash from operations of 36.8 million in the 2013 first nine months. Cash and cash equivalents are strong totaling 79.8 million, up 14.5 million from 65.3 million a year ago. The company’s total debt of 28.2 million declined 3.8 million from 32 million a year ago. Our debt-to-capital ratio was 9.3% at the end of the 2014 third quarter versus 11.3% a year ago. Regarding other aspects of our capital structure, effective with the June 2014 dividend, Tennant raised the payment 11% from $0.18 to $0.20 per share. We paid cash dividends of 10.9 million in the 2014 first nine months compared to 9.9 million in the first nine months of last year. Reflecting our commitment to shareholder return, we’re proud to say that Tennant has now increased our annual cash dividend payout for 43 consecutive years. During the 2014 first nine months, we purchased 217,534 shares of Tenant stock at an average price of $62.56 per share for a total cash outlay of 13.6 million. As of September 30, 2014, we had 413,069 shares remaining under our repurchase program. Moving now to our outlook for 2014. As Chris said, based on the 2014 year-to-date results and expectations of future performance, we are increasing our sales range and lowering the top end of our earnings range guidance. We now estimate 2014 full year net sales in the range of 810 million to 820 million, up 8% to 9% over last year. We anticipate earnings in the range of $2.60 to $2.70 per diluted share, an increase of 15% to 20% compared to 2013 as adjusted. This anticipates a significant growth in the fourth quarter 2014 earnings. Our previous guidance estimated 2014 full year net sales in the range of 800 million to 815 million and earnings in the range of $2.60 to $2.80 per diluted share. For the full year 2013 adjusted earnings per share totaled $2.26 and net sales of 752 million. Our current 2014 annual financial outlook included the following expectations. Modest economic improvement in North America and Europe and growth in emerging markets. Foreign currency impact on sales for the year in the range of neutral to an unfavorable 1%. Gross margin performance of approximately 43%. Research and development expense of approximately 4% of sale and capital expenditures in the range or 20 million to 22 million. We anticipate a base tax rate excluding any special items in the range or 31% to 33% depending primarily upon the full year taxable earnings by country. Note that our 2014 base tax rate does include the 2014 benefit for federal R&D tax credit. However as I mentioned earlier that has not been reenacted for 2014. Therefore we are not allowed to include its favorable impact in the 2014 tax rate we record until it is enacted. Our current sales and earnings guidance reflects the success of our renewed focus on accelerating organic sales growth and the continued investments in direct sales, distribution marketing to drive future growth. It also assumes that it will take us a couple of quarters to improve the performance of our supply chain as we continue to ramp up to support higher levels of production and launch new products. And now we'd like to open up the call to any questions. Thanks Kimberly.
Chris Killingstad: And Kimberly this is Chris Killingstad. Before you go to the questions I just want to make a comment. I just have been told that the quality of this call has been very, very poor. I just want everybody to know we put in a new global phone system and communication system recently. And clearly it did not work as intended today. We apologize profusely and we promise that the next time and for the fourth quarter earnings that we will have it fixed. So again our apologies.
Operator: [Operator Instructions]. And your first question is from the line of Joe Maxa.
Joe Maxa - Dougherty & Company: I wanted to ask a little bit more or get a little bit more color on the gross margin impact. Did you hire additional headcount to help with the production and the new products or is this primarily people you've had before that you're just training? I'm just trying to get a sense of maybe…
Tom Paulson : Yes, it's honestly Joe a new phenomenon for us as you remember. We really not only held our overall headcount relatively flat we've also have not added many permanent employees in our factory. We really managed our surges through temporary people. And due to the growth that we have seen we needed to start to adding heads. It did have some negative impact on us in the last quarter as we talked about. We thought we had it firmly under control but we did need to continue to add not only permanent heads as we convert temporaries to permanent but we also needed to continue to add temporary people to support our growth. And the place that we are making those major adds are really in our three major facilities in North America. And all those areas have been effective. So has been disrupted but I really want to focus on the fact that it's very flexible, it's under control. And we are working our way through aggressively as we speak. And it will not have any impact on our targeted numbers as we look forward and our ability to deliver growth targets and profit targets.
Chris Killingstad: I would just like to add that as many of you know that finding these days qualified manufacturing talent is not as easy as it once was. And so we didn’t have as much initial success in bringing on board and getting them trained to Tennant’s very high standards. So we have had a lot of turnover on the temporary front. I think we are starting to work on out of way through that. And as Tom said by the end of the first quarter we should be back in a very stable situation which is we have had historically.
Joe Maxa - Dougherty & Company: Okay, that’s helpful. Wanted to ask about the broad-based growth you're seeing in Europe. I mean could you give us a little color? Is it really related to new products? New customers? What's driving that broad-based growth?
Chris Killingstad: As you said its broad-based that mean we are seeing decent growth in many of our key countries. We're seeing growth in strategic accounts. We put a new emphasis on our distribution business in Europe and that’s paying dividends. Our master distributor for Central Eastern Europe, Middle Eastern and Africa continues to grow very, very nicely. Yes new products are adding to the growth. But I think a lot of that has to do with the fact that we spent the last couple of years really restructuring our sales and marketing efforts in Europe upgrading our talent in key parts of the business. And that’s starting to pay dividends.
Joe Maxa - Dougherty & Company: I see, okay. And on the new products, you talked about a new technology for ec-water. Is that something you would expect to expand your market opportunity?
Chris Killingstad: Yes of course we hope to expand our opportunity with the next generation. We think it’s an exciting technology. I think it’s a significant enhancement to our existing generation of ec-water technology. And we are hoping to be able to bring more customers into the fold. As you know Joe we have only about what is it 50% reduction rates on current generation technology so there is even among our existing customer base a lot of room for growth and as we start to expand our efforts in terms of enhancing our market coverage around the world and accessing new customers we think this new technology will help us drive that effort as well.
Joe Maxa - Dougherty & Company: Okay. And lastly for me, I wanted to ask your new customer acquisition strategy. Do you have any stamp that can give us any type of color on -- I don't know if you can give us like a number or a percent growth of customers that are new customers from your strategy so far?
Chris Killingstad: I would say right now we’re in a very early stage so we’ve had some excited wins here and we’re still in the stage of really analyzing where the opportunities are betting that these are truly new customers and they are relevant to Tennant, they fall within the key vertical markets we’re competing for and then some of the sales and marketing resource we’re putting in place to help us go after those new customers. We’d say we are in the early stages most of the growth that you’ve seen today organically is not coming from that initiative lies ahead of us but I still believe that over the next few years it may be the biggest opportunity we have to grow. Remember we have relatively low market share around the world.
Operator: And your next question is from the line of Jason Ursaner.
Jason Ursaner - CJS Securities: Good morning. Just first on the revenue, you mentioned the new products, the introduction of the 10 new products is a nice contributor. And Chris, I apologize if you did say it in your prepared remarks and I just missed it. But is there any way to quantify the contribution you're seeing now as a percent of sales, and when you talk about the growth in the context of the 7% compound rate to get to the long-term goal, is that a net number relative to the predecessor product that it's replacing?
Chris Killingstad: Yes, two comments on that I think the most -- the metric that we did talk about is if you [indiscernible] sort of first quarter of last year, our equipment revenue 2% of that came from new products that we started introducing 2012. Last quarter we were at 13%, so we continue to see momentum in our new product activities and that’s really how it works for us. Products are introduced, they grow in their second year of introduction and grow in the third year and sometimes even beyond that but we don’t see our peak growth and generally we saw in year three so a wave of a new products will continue to see this kind of increase in our new product activity as a percent of our equipment revenue. And when we talk about on the growth and our billion dollar target that come from new products, that is a net number I mean so it’s not a gross new product number it’s the net number after attrition and we have to look at new product introductions that way I mean it’s a critical part of an analysis that we’ve got to generate enough incremental revenue to justify the investment behind those new product idea. So, we diligently track the true incremental revenue that we’re driving.
Jason Ursaner - CJS Securities: Okay. And for the T12, I know you guys have pretty strong expectations for continuing layering in of demand. How are you seeing that product and maybe early stages with the T17 relative to that peak kind of three-year growth, and are they going on track or was some of the manufacturing growing pace kind of centered on the new products?
Chris Killingstad: I’d say the T12 and T17 are both doing better than expectations and therefore we’re thoroughly pleased with what’s happened in the market so I would say sure could we have delivered maybe a couple more products, it’s not having a material impact on the success of those new products, they’re doing really well and we continue to expect them to ramp up and have higher growth in future years.
Jason Ursaner - CJS Securities: Okay. And just following up on the question you had previously about the prototype for the next generation ec-water, is this going to be available retrospectively as an upgrade on to the previous module that's already on equipment in the field, or is it replaceable, or is it just going to come on new equipment whenever it launches?
Tom Paulson : We will not retrofit old machines. We will -- we only have it on select scrubbers starting in the first quarter and we will roll it out over the relevant scrubber portfolio. I’m not going to commit to a timeframe for that but if you look at what we did with the first generation of ec-water probably took us 2.5 years to get there. so I assume about the same time frame here but we will not be putting the first generation ec-water model on any of the products where the second generation goes on so over the next 2.5 years we will switch second generation to first generation and as I said we expect that it will help us to grow because it is an enhanced technology that we hope will both clean better and be able to clean in more applications.
Jason Ursaner - CJS Securities: Okay. But in the interim, they wouldn't impact the attachment rate or no one hold off or anything to wait for.
Tom Paulson :  Between the first generation and second generation we should see the attachment rates remained stable. Hopefully it help start to grow.
Jason Ursaner - CJS Securities: Okay. And you talked previously about the likelihood to grow operating expenses in the short-term in line with sales growth. For the quarter, obviously you mentioned some of these growing pains. Is that target still the right range, and is spending likely to continue outpacing revenue growth for a short period of time until it balances out?
Chris Killingstad: Yeah. And we will provide more insights on next year at the traditional time when we get guidance which is normally during the release of our year-end numbers in late in February. But I would be fair to say that we would expect to see lower operating expenses sequentially in Q4 relative to Q3 modestly. And we would expect to see improved leverage in the fourth quarter relative to prior year if you look at our operating expenses as Q4 as a percent of our revenue compared to last year. We do believe we will begin to see some improvements. We have seen very improvement on year-to-date basis as we have been making major investments. And I would tell you that in last quarter our revenue was a little below our expectations we did not adjust our spending as we continue to invest. And so that did have some level of impact on our leverage. But we will begin to see improvement in the fourth quarter. And clearly I mean we expect to see leverage improvement in our operating expense as a percent of revenue next year. It’s a critical part of the delivery of our 12%. And we've been balancing it we think appropriately so far. But you expect to see leverage going forward.
Operator: And your next question is from the line of Daniel Rizzo.
Daniel Rizzo - Sidoti & Company: Hey guys. With the new product launches, do you initially like the first year offer them at a discounted price to increase adoption rates and then raise prices in the second year? Is that kind of the strategy?
Chris Killingstad: We don’t. We don’t. It’s not to say that we don’t do some things from our marketing point of view to generate excitement at the front end. So there can be some things that could potentially stimulate demand. But the reality of it is that’s just a bad practice on our business. I mean that machine might go out in the market and be there for five or seven years, you can’t afford to provide discount to drive it. It’s got to be our demand base. And we don’t discount at the front end.
Daniel Rizzo - Sidoti & Company: Okay. And then you’ve indicated that Europeans sales are strong; Asia was weak in the quarter because of uncertainty. I'm just wondering why the uncertainty in Europe I mean, I know numbers would be this morning, but certainly Europe is not playing more so why there's a dichotomy between the two.
Tom Paulson : Part of its just really timing related that I mean and I mean I hear you that as you read the paper every day you will have mixed points of view about what’s going on in Europe. We would just tell you that we grew nicely in the quarter. We are growing on a year-to-date basis and Chris pointed out the multiple places that where growth is coming from. Our eyes aren’t closed but our business in business in Europe feels pretty damn solid and we expect another quarter of organic growth in Q4. And we expect to return the growth in APAC and really do view that. Even though we saw some economic uncertainties and some deferrals we believe that’s timing related and we think we will return back to growth particularly in China. We are still growing at a 20% on a year-to-date basis we expect another really good growth quarter out of China in Q4.
Chris Killingstad: They don’t a strong. I mean conditions are still pretty tough in Europe. They are. Remember we are coming from a place of single-digit market share. So even in a tough environment with the new sales, marketing structure and the new products in Europe and just going to market more effectively we have the possibility of making some gains. And that’s showing up in the numbers.
Daniel Rizzo - Sidoti & Company: So that would suggest that even if things do get moderately worse in Europe, that you could still grow just because you are stealing market share from your competitors?
Chris Killingstad: We don’t anticipate in the short-term that Europe’s going improve from a macroeconomic perspective. But we do fully expect that we continue to grow organically.
Operator: [Operator Instructions]. And your next question is from the line of Scott Graham.
Scott Graham - Jefferies & Company: Couple of questions for you guys pretty much around gross margin, so -- and it's really two questions specifically. The gross margin decline and your related confidence that the issues will be cured, let's say, two quarters or three quarters out. I'm assuming that you are implying that gross margin will be down again in the fourth quarter?
Tom Paulson : No we would actually expect in Q4 to see not only sequential improvement but we would also anticipate to see better gross margin performance than the prior year in Q4. We are not getting but we will be straight forward about the fact that we are not going to back to our stellar performance that we've had from multiple other quarters. It might be the [indiscernible] of Q1 before we exit there and we're really back completely on track but also remind folks that this has been one of our real strengths as our supply chain across the entire corporation and yes, we haven't done as well absorbing the growth and the sheer level of new product activity based on very flexible issue and we’re going to work our way through it but and we’ll start to see that improvement as we believe in Q4 and that's was built into our guidance. It’s not dramatic improvement but we will see we believe improvement in our gross margin sequentially and versus the prior year.
Scott Graham - Jefferies & Company: Understood. If, however, we are going to be launching on a sort of quarter-by-quarter basis more our new products in the fourth quarter than we have in any of the previous three quarters, are you saying, Tom, that your production and your people are attuned for another ramp in new products that’s scheduled for this quarter?
Tom Paulson: Yes, I’d say couple of things there, one is the magnitude of the launches in Q4 are smaller than we’ve seen in the front part of the year and some of the things we did last year. We’re back at the next two years to see bigger more meaningful launches but we have to be careful in the Q4 of the level of new product activity because the fact that it’s not our biggest quarter, it’s our second biggest quarter of the year, and we need to be cautious as we manage our way through that. So we think we’ve got call it an easier balance in Q4 of growth and less new product activity.
Scott Graham - Jefferies & Company: Okay. So, more new products in the fourth quarter versus previous quarters, the lower impacting, lower dynamics, got it.
Tom Paulson: Yes.
Scott Graham - Jefferies & Company: Okay. Is there a reason why, because you guys are talking about this issue, production issue as impacting the gross margin and as to why it was holding down for that reason. Yet you had a real good sales number, and we didn’t get it looks like any operating leverage off of that. Could you tell us some of the other puts and takes on the gross margin in the quarter?
Chris Killingstad: Yes, really the inefficiency this was the biggest piece and again I realize it’s a big and it’s hard to specifically quantify, but there are chemicals that reach out as you adding people and training people and having turnover and having more difficulty accessing those people. It has real effects in the way that the factories are running. So it is -- because as we look at other areas there was not any meaningful mix changes in our business, we did get pricing of 1% and we're -- on a year-to-date basis our pricing benefits is around 1% of benefit which is really in line with our expectations and we saw modest inflation but nothing to be concern about, I mean it’s not certainly not having any material impact on the margin. So we really, we do feel isolated and very flexible.
Operator: Since there are no further questions at this time I would like to turn the call over to management for closing remarks.
Tom Paulson : We are pleased with our progress to-date and confidence we have laid a strong foundation for our future. We will continue to focus on growth, building on a solid year-to-date performance in 2014. Good results in the first nine months that included organic sales growth of approximately 9%. Our strong order position going into the 2014 fourth quarter gives us confidence in our outlook for the full year. We will unveil new technologies in November that we believe will further fuel Tennant sales going forward. We are committed to our growth goals of $1 billion dollars in sales by 2017 and a 12% or above operating profit margin. We look forward to updating you on our 2014 fourth quarter results in February of 2015. Thank you for your time today and for your questions. Take care everybody.